Operator: Good day, everyone, and welcome to today's Fourth Quarter and Year-End Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions]. Please note that this call may be recorded. It is now my pleasure to turn today's program over to John Nesbett of IMS Investor Relations.
John Nesbett: Good afternoon, everyone, and welcome to Blink Charging's fourth quarter and year-end 2020 investor call. On the call today, we have Michael Farkas, Founder and CEO; Brendan Jones, President and Michael Rama, Chief Financial Officer. I'd like to take a moment to read the safe harbor statement. This conference call contains forward-looking statements as defined within Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and terms such as anticipate, expect, intend, may, will, should or other comparable terms involve risks and uncertainties because they relate to events and depend on circumstances that will occur in the future. These statements include statements regarding the intent, belief or current expectations of Blink and members of its management as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's periodic reports filed with the SEC, and that actual results may differ materially from those contemplated by such forward-looking statements. Except as required by federal securities law, Blink undertakes no obligation to update or revise forward-looking statements to reflect changed conditions. I will now turn the call over to Michael Farkas, Chief Executive Officer of Blink Charging. Go ahead, Michael.
Michael Farkas: Good afternoon, everyone. Thank you for joining us. We closed out 2020 with a very strong fourth quarter. Revenue grew over 250% and we made tremendous progress expanding our footprint. As we move through 2021, we remain focused on executing our aggressive rollout of charges to a wide variety of partners and locations, including healthcare networks, hotels, multifamily residences, and municipalities. As a pioneer in EV charging, we've watched what was a gradual transition to EV, gained massive traction in 2020. The EV industry is experiencing tremendous momentum fueled by a combination of environmental concerns, coupled with legislative initiatives on both the local and federal levels that have more and more drivers making the switch to EVs. And it follows that more EVs that are on the road, the more demand that will be for fast, accessible and reliable charging stations to power these vehicles. With that in mind, we've been pursuing new exclusive partnerships and locations for the placement of our charging units. While EVs compromise a relatively small portion of vehicles today, they represent a rapidly growing segment of the transportation sector. And we're focused on positioning our charters in densely trafficked areas to capitalize on what we believe will be a substantial shift to EVs over the coming years. It is important to note that in our own and operate models, exclusive agreements allow us to deploy chargers today and to add chargers to contracted locations as necessary to meet demand and that's throughout the duration of our long-term exclusive agreements. We are aggressively deploying our charters using a variety of business models by emphasizing our own and operate model. The Blink own model is a key competitive advantage for us because with this model, we realize an economic benefit each time a vehicle is charged with one of our own charges. As EV adoption continues to accelerate and charger utilization increases, we expect our owned and operated units will represent a growing revenue stream for many years to come. We believe the opportunity in front of us is enormous, with few companies better positioned than Blink to benefit from the anticipated growth in demand for EV infrastructure. As we have pointed out previously, BloombergNEF's Electric Vehicle Outlook 2020, which looks at the global EV market, noted that passenger EV sales increased from 450,000 in 2015 to 2.1 million in 2019 and are expected to reach over 15 million in 2040. BloombergNEF also expects that more than 50% of new car sales will be EVs by 2040, 50% of new car sales and projects that we need many, many more charging stations and that should top over 219 million by 2040, with a value of $500 billion worldwide. The EV revolution is underway and Blink is strongly positioned for significant growth, as we continue to play a leadership role in laying the groundwork for this transition. To support our growth, in January 2021, we completed a successful equity raise of $221.5 million. It significantly strengthened our balance sheet. Now, with a stronger capital structure, we're better positioned to expand the Blink own charging infrastructure, improve internal systems, improve operations, increase our technology, and to prepare for anticipated exponential growth. It also allows us to secure new partnerships, acquire new locations, and to seek amazing strategic acquisition opportunities. We have been adding new positions and people to improve our operational strength across our organization with additions to our sales staff, IT, customer service departments and bottom line, the greatest achievement that Blink has made over the last year is not our stock price. It's not the money that we've raised, but it's the team that we've built. Every one of our employees of this company has allowed us to grow this business and it will be completely dedicated. And just after the fourth close of the – the close of the fourth quarter, we announced a purchase of a 10,000 square foot office condominium in Miami. And that's to house our corporate headquarters and to support our current and future growth. Additionally, following the closure of the quarter, we opened a new Phoenix location, which has already begun making meaningful contributions to our operations. This is an extremely exciting time for our industry and specifically for Blink. We began 2021 in a solid position. We plan to capitalize on the many opportunities we're seeing to provide the accessible fast and reliable EV infrastructure that makes traveling with EVs both attractive and viable. Now I'll turn the call over to Michael Rama, our CFO, to run through some of the specific financial results of the quarter. Following that, Brendan Jones, our President, will provide details around some of our recent progress before we go to the Q&A. Go ahead, Michael.
Michael Rama: Thank you, Michael, and good afternoon, everyone. With our fourth quarter performance, we delivered a strong close to a challenging year. As Michael noted, despite the broad economic uncertainty that the COVID-19 pandemic created, we remained intent on driving growth and progress and our financial results demonstrated that focus. Our solid fourth quarter results continued to build momentum of our second and third quarters as represented by total revenue growth of 250% to $2.5 million. And this growth was driven by increased product sales as well as increased network fees. Product revenues grew more than 1,000% in the fourth quarter related to robust demand for our commercial and residential chargers and network fees grew 67% related to the increase in charges within our network. The growth in these areas of our business was offset slightly by a decrease in revenues from charging services for the quarter, primarily related to less EV travel because of the pandemic. Additionally, fourth quarter 2020 revenues were favorably impacted by the timing of certain orders that cost from third quarter 2020 to fourth quarter 2020. Fourth quarter net loss was $7.9 million, or $0.24 per share, compared to net loss of $2.9 million, or $0.11 per share for the fourth quarter of 2019. For the fourth quarter, net loss included increases in compensation and operating expenses related to the onboarding of new employees primarily in our sales, IT and customer service areas. Specifically, operating expenses for the quarter increased $8.3 million from $2.9 million, primarily driven by increased operational expenses. This includes significant scaling up our infrastructure and operations as we continue to scale the business to prepare for anticipated demand for our products and services as EV use grows. Looking at full-year 2020, revenues increased 121% to $6.2 million, compared to $2.8 million for the full-year of 2019. Product sales grew more than fourfold to $4.4 million for the full-year, and network fees improved 14%. Charging service fees decreased 43% for the full-year 2020 related to the stay-at-home orders that kept drivers largely off the road for a majority of the year. As the COVID-19 vaccination efforts continue and the economy reopens, we expect to see usage increase as drivers return to more regularly travel behaviors. Over the medium to longer term, we expect to see growth in the charging service revenue from our owned and operated stations as more electric vehicles take to the road as we continue our aggressive expansion of the Blink chargers of networker chargers. Net loss for the year was $17.8 million or $0.59 per share, compared to a net loss of $9.7 million, or $0.37 per share for the full-year 2019. Net loss for the full-year 2020 include increases as previously described. Now I'll provide charging station stats as of December 31 2020. As of December 31 2020, we deployed 16,616 charging stations, of which 7062 were on the Blink network, which consisted of 4340 level two publicly accessible charging, commercial charging units, 1404 level two private commercial charging units 120 DC fast charging EV publicly accessible chargers, 14 DC fast charging EV private chargers and 1176 residential level two Blink EV charging units. The remaining or non-network on other networks or international sales or deployments, which consists of 228 level two commercial charging units, 8773 residential level two EV charging stations, 521 sold internationally and 33 deployed internationally. And now a few comments on our cash and liquidity. At December 31 2020, cash and marketable cash and marketable securities were $22.3 million, compared to $7.1 million at December 31 2019. Following the close of 2020, we completed a successful equity raise resulting in net proceeds of $221.5 million. Now, I'll send it to Brandon for some additional remarks.
Brendan Jones: Thanks, Michael. As I'm sure we can all agree 2020 was quite the ride from an economic and public health standpoint. We are proud of our company's ability to stay focused and execute on aggressive rollout of EV charging infrastructure both domestically and internationally. Despite a myriad of challenges throughout the year, including shutdown, travel bans, and the advent of virtual only sales calls and pitches. We'll review some highlights which will illustrate the brand recognition and momentum we're experiencing. We're seeing tremendous interest, and many opportunities in the marketplace, with both private partners and as part of grant structures being used by local governments at both the state or city level for the establishment of convenient, accessible EV charging to support the increasing number of EV drivers on the road. Likewise, we're seeing heightened interest from international partners also working to develop the infrastructure necessary to encourage the transition to EVs. We had many notable developments during the fourth quarter and have made substantial progress to date this year. So I'll highlight a few that characterize our growth strategies for the expansion of our charging presence. Establishing new locations is linchpin of our strategy and we are literally adding new locations almost every week. Among our recently announced additions, we acquired U-Go stations incorporated and its portfolio of 44 DC fast charging locations, as well as multiple grants. U-Go was awarded for the development of up to 45 additional charging stations. We also signed agreements with JSC Management, a large Burger King franchisee for the deployment of Blink own charging station in key locations across the Northeast United States. Now internationally, we continue to have success deploying our chargers through partnerships and joint ventures. Our recently announced international opportunities include the sale of 45 dual port Blink charging stations for deployment across Greece, by Blink Charging Hellas, our joint venture entity with Eunice Energy Group, and a follow on order from InterEnergy for an additional 150 fast charging stations to deplete deployed in the Dominican Republic. Additionally, we received an initial order from InterEnergy for 15 charging stations as it expands the Evergo network in Panama. Switching gears, health care facilities, which operate 24/7 are typically highly trafficked by a mix of medical professionals, patients and visitors, our natural locations for our charging stations and an important element of our focused growth strategy. We announced agreements with several healthcare networks during the fourth quarter, including the Lehigh Valley Health Network for Blink-owned charging stations across their extensive portfolio of health care facilities in Pennsylvania. The further deployment of Blink-owned charging stations at St Luke's University Health Care facilities also in Pennsylvania, and an exclusive contract to provide Blink IQ 200 units at several Blessing Health System locations in Quincy, Illinois. Additionally, resale partners are also an important extension of our sales efforts, and we expanded our reseller portfolio to include several in this quarter. The line electric company a leading manufacturer of zero emissions, buses and trucks will now offer the Blink IQ 200 charging station to school systems and fleets they work with and Ballantyne strong will offer Blink’s full line of charging stations to their extensive customer base of cinema operators, theme parks and other entertainment and leisure related locations. And finally, we are seeing continued success when we compete for grants and for participation in the subsidized rollout of EV infrastructure by states and cities. Some recent highlights include our award after a competitive bidding process to provide EV charging infrastructure for the City of San Antonio's EVSA program. The award initially calls for us to deploy up to 140 Blink owned charging stations throughout the city. We also announced two agreements that will expand our presence in the Northeast region of the U.S. We have our first deployment in New Hampshire in the resort town of Waterville Valley, where our Blink owned units are the only charters within 30 miles. And we announced a collaboration with the State of Vermont to deploy 22 DC fast chargers and 22 L2 chargers at 11 sites across the state and the new next two years. At five of these locations we will deploy high speed charging of 175 kilowatts for DC fast chargers. Needless to say, we have a very full and growing docket of deployment we continue to execute against our goals of expanding the EV charging infrastructure to support and promote the increasing adoption of EVs. We are super energized by the opportunities recently afforded to us by the recent capital raised to support our rollout of EV charging infrastructure. We are proud of the progress our sales team has made and energized about our potential as we move through 2021. With that, we will now open up calls for questions. Thank you very much.
Operator: [Operator Instructions] We will take our first question from Gabe Daoud. Please go ahead. Your line is open.
Gabe Daoud – Cowen and Company: Thank you. Good afternoon, everyone. You guys -- you mentioned COVID-19 obviously had a big impact on the business in 2020. Maybe whether or not it was -- it could have been some supply chain issues for some other folks in the sector, or there's simply less deployments, given less driving and less charging revenues you mentioned? But now that kind of vaccinations are accelerating here, could you just gives us a sense of what type of visibility you have into orders or deployments for 2021? And where you think this could do to both top line revenue and also CapEx requirements?
Michael Rama: I'll jump in part of that. This is Michael Rama. Hey, Gabe, nice talking to you again. So we're expecting our Q1 2021 revenues to be strong compared to Q1 2020. We're on track to have very good 2021. We're seeing a lot of orders come in. We're seeing activity from a lot of different property owners and partners. And so, we're expecting a strong 2021.
Michael Farkas: Gabe, this is Michael Farkas. I'll add to that. Yes. There's been obviously an update across the board in EVs. We're seeing a lot more cars hitting the market now than ever before and from mainstream manufacturers like Volkswagen, especially in a very big way. So obviously, the more cars on the road. Today, we have low single-digit EV sales as a percentage of total sales. And as that increases, that'll directly, we believe, impact our revenues and the charging stations that we sell to others as well as own and operate. In addition, a lot of people now are business owners, property owners, are more cognizant of what's going on with EVs, and they're taking the initiatives, which they haven't in the past. So that should also add again to deployment numbers in a very good way.
Gabe Daoud: Got it. Thanks. Thanks, guys. That's helpful. And then I guess just as a follow-up. Could you maybe just talk a little bit about the margin profile as it progresses throughout 2021. Again, I know 2020, a little bit kind of funky, just given COVID-19. But particularly on charging revenues, I think you could say on how the margin on that line item and opportunity progression throughout 2021. Should we expect it to improve as utilization kind of increases? Curious about how that trend?
Michael Farkas: We've been working on getting our costs down. Our average cost of electricity today is now about $0.12 per kilowatt hour. So we're working on opportunities of being able to bring that cost down. Our average sale price is a little bit north of $0.39. So what we would like to do is be able to save on the electricity, be able to really dedicate green energy if possible, and then bring down the cost to our customers accordingly. But they're very nice margins in our business, both on the sale of the fuel. In addition, they're very nice margins on the hardware itself, as well as the networking services and processing fees and so on.
Gabe Daoud: Thanks, Michael. And then just one last one. Just on G&A, you guys obviously mentioned getting the staff boost up to support the growth initiative ahead. I guess just curious, if we should expect further increases in G&A on more hiring? Or do you think maybe you're kind of well staffed now for the opportunity ahead in the near-term?
Michael Farkas: We see a lot of growth ahead of us and we're roughly about 100 bodies today and this business is growing at an exponential rate. I think everyone's takeaway from here should be very clear. Earning industry today where there's roughly 300,000 or so viable charging stations that are out in the field. From estimates we're looking at anywhere between 12 million to 14 million, maybe higher by 2030 in the U.S. alone. That's going to take steps to build. It's all about having the right team, being able to really get into all of those different looks and crannies of the real estate space and knowing all the owners, operators, managers and so on, to be able to really service them and take care of the hardware, grow our hardware base. It's going to take money to invest in our team. So we're expecting that to increase for a little bit.
Gabe Daoud: Great. Thank you so much, guys.
Michael Farkas: You're welcome.
Operator: We’ll take our next question from Craig Irwin with ROTH Capital. Your line is open.
Craig Irwin: Good evening. And first, I should say, congratulations on the strong revenue in the quarter.
Michael Farkas: Thank you.
Michael Rama: Thank you.
Craig Irwin: It seems from your disclosures around international deployments that you guys are starting to get some nice early traction there. Can you maybe give us a little bit more color on where these units are being deployed? Where you're seeing the greater success? And would you expect this to be a material contribution over the course of 2021? Any color you can give us on how we could think about the relative contribution?
Michael Farkas: Okay. Europe is a tremendous market, the international market is huge as well. We have certain areas of the world where there's a lot more utilization than there is in the U.S. today. Our role and responsibility is to deploy our hardware in areas where we'll get the best utilization in our own and operate model. And in our hardware sale model, it's our role to go out there and sell as much hardware as we can. We have an amazing piece of equipment for the European market. As we did for the U.S. market, and having our level two charging station maxed out capacity of its standard, we did the same for our European hardware, which we now have on a per port basis, roughly 44 kilowatts of output. It's a very fast level to small footprint charging station. And again, we believe that will be very impactful. It's very, very economically priced. So again, we believe, as a company with global aspirations, that now we only expanding where we are today in Israel, and in Greece, and in the Dominican Republic, and in Panama and other areas, we need to go where their people want to buy our hardware. Going to be happy with our hardware. And we need to go into areas where we own and operate where there's massive utilization that's today, not necessarily in the future. We believe that this year, we have some very interesting news that may be in the European market, especially with a new hardware. And I believe everyone will be excited about what we do outside of the U.S. in the coming years.
Craig Irwin: Excellent. Excellent. So then a follow-on question on there is, obviously, this is a Greenfield opportunity for us to have to invest. Can you maybe talk about the relative contribution to the increase in SG&A and salaries and comp? Is this really primarily staffing up for Europe? Or are you staffing up for other opportunities in the U.S. and internationally, also at the same time?
Michael Farkas: It is just a wholesale growth of our business across the board. So, our – some of those resources are focused on our expansion in Europe. Yes, they are. And as well as in Middle East and South Latin American and Caribbean. Yes. So we do have some of our staff that's focused on that as we grow more so we'll do. But we're an American company. And we still have a lot to do here. We're looking forward to introducing next-generation of DC fast chargers and do - for the level two -- in the DC market, we’ll give it to level two with our Blink IQ 200. So we are focused on the U.S. space and we're hearing we have amazing relationships. But there's tremendous opportunities globally. And Blink is focused on internationalizing our network, having the ability of being multi-lingual, multi-currency, and we have some amazing things that we're going to be launching in the near future, and they allow that. And once that's in full order, whether we're operating a unit from Miami, that's in Maine or in Oregon, there's not really different than operating and managing a unit that's in Paris or London or in Holland somewhere. So our network has the ability of managing the charging stations globally, and that's where we're going to be in very short order. And once that happens, we're going to really be able to expand in any area where easy stuff, maybe infrastructure is needed. And we have an interesting customer that wants to work with Blink. We'll have the hardware solution for each area and have the appropriate solution because again, the hardware is different based on the grids that they operate on. And having the backend processing systems, payment systems, mobile applications, we're literally that same portal is used globally, to operate a charging station no matter where you are. And that allows us to extend wherever we see activity.
Craig Irwin: Great. So, Michael, one of your most exciting wins these past couple months was with San Antonio, City Council, they're helping open RFP and you were the winner in an open competition. Can you maybe talk about what they found most interesting, most compelling about your product? And whether or not this translates to other open RFP processes out there and your competitiveness, given that this has been a pretty thorough process?
Michael Farkas: Yes, it was actually a very, very thorough process. And, again, we came ahead. And it's been -- we've been really been doing pretty well at these open competitions as relate. And it's really about our offerings, our services, and I would say, our customer service really being there for these, municipalities being there for our customers, providing an amazing service. One of the main advantages that we have over a lot of our competitors is we have an obsolescence proof piece of equipment in our level two charging stations, Almost all of our competitors, they're either one-third, one half at most of the output that we have in our IQ 200. When you have sustainability groups, and you have municipalities that look at this long term, and you can easily convey the message, hey, if you don't buy something that has any amps [ph] as output, you're buying obsolescence, why because more and more cars are coming out with that capacity. Are you going to go to a charger that has one-third or one-half the capacity is just down the block? There's a charger that goes faster, that works according to your schedule. And that charges for electricity at a fair rate. Obviously, then it go to something that's a little bit quicker. That's obviously the holy grail in a lot of charging. Obviously, there's level two, and there's DC, and different locations are appropriate for different hardware and what's available power to those there's locations, but ultimately, our hardware really won the day, it's just a better piece of equipment. And there's a big difference between us and our competitors when it comes to building hardware. They build it to sell it to a third party. There's no other company that designs its own equipment in hazard manufacturer, and granted by its own name does what we do, and there's also an owner and operator space. We learned a lot about where things are weak, the chain breaks its weakest link, right. So when you own and operate the charging stations, you're involved in the site acquisition, site evaluation process, installation, maintaining those units, operating them and then dealing with the EV driver. Most of the other -- none of the other manufacturers really are involved in that process. So there's a lot of insight and experience that we've gained, doing that for many years before we developed the IQ 200. And we learned a lot of things. We learned, hey, let's try to figure out a way to get this unit in the ground as fast as possible, because we pay the electricians that benefits anyone who buys our hardware. How do we figure out a way to maintain these units better? How do we make sure they last longer? So that, again, as an owner and operator, we want them to be in the field as long as possible. So, I think all of those factors, again, also really just taking care of the customer as best as we can. Showing them over and over again that, we're coming out here and can work with you. And in addition, we have multiple deployment methodologies, which really allow municipalities to work with us because of the different relationships they have a different locations. So there's multiple reasons, but I think one of the linchpins was definitely our hardware.
Craig Irwin: Great. That definitely makes sense. Thank you. So last question if I may. Line Electric, that's a pretty nice customer wins. So I should say congratulations for that. They have an exciting trajectory over the next number of years. And they're doing some amazing fleets. The one contract they have that I guess many people find incredibly interesting. It's a billion dollar purchase order from Amazon. Can you talk about, where you might expect to participate with Lion? Do you expect broad participation over there? Or would it be on a project by project basis? Can we translate these other purchases -- purchase orders that they have into potential purchase orders for Blink? Assuming everything goes well over the next over the next year or two?
Michael Farkas: Well, I think when you look at what we provide to them, and what our competitors can provide to them. I believe we have a much more viable solution. And that's why they decided to work with us. Now they typically sell the bus and the charger as a combination. And, I usually posted on Facebook and I think it was on Instagram, or Home Depot or buses, with Blink chargers and each bus pulls in after they either runs at the end of the day, and they plug in, they're ready to go. One thing about our charging stations, as I said before, is yes, we are the fastest, and you can't get any faster for level two charging stations. After that you go to DC fast chargers. The other thing about our charging stations is that also backwards compatible. So if you only have, 12 amps, or 20 amps, or whatever it may be, you can connect your charger lower the charging station to software. And then as more capacity is available at location, which again, some of the stuff that Biden was talking about in the last couple of days there, the trillion dollar package, part of that is updating our grid. So when the grid get updated, they will look which is going to happen, there's more power available, instead of having to go take another charger and buy it and then throw these in the garbage because they were slower. With our charging stations all you have to do just do a mobile app through software, upgrade it then you have power available. And it's something where we're future proofing deployments. So we believe that as things progress, we're seeing the fruits of our labor today in some of these departments. We believe that we'll be one of the largest vendors of the hardware for those buses, because we have a superior piece of equipment to charge those buses.
Craig Irwin: Thank you. Congratulations on the progress. And appreciate you taking my questions. Thanks.
Michael Farkas: Thank you.
Operator: We will take our final question from Sameer Joshi with H.C. Wainwright. Please go ahead.
Q - Sameer Joshi: Thanks. Thanks for taking my questions. The first question is about you have mentioned it in your personally, but I didn't hear it in the commentary about your involvement with the carbon offset credit program with the Connecticut Green Bank. Can you help us understand how that program works for you? And are you planning to do similar programs with other parties?
Michael Farkas: Michael, you want to go into just maybe a little bit on the program? And then I'll go into where things are going with branching.
Michael Rama: Yes. We generate what we call, low carbon fuel credits from State of California, Oregon. And we generate them on a kilowatt basis every quarter. We monetize them on continuous basis that we pair them up actually with 12 renewal credits as well. So the way to bundle them and sell those big package. So yes, we look at them. And as utilization and usage increases, we'll see those credits continuously coming in.
Michael Farkas: In addition, again, I'm going to talk about where things are going with the Biden administration. They're talking about a trillion dollars that they're spending on different areas of infrastructure and transportation. And we're going to see a tremendous amount of spending on EV infrastructure from the Biden government. They've said clearly that they want to see 500,000 charging stations built throughout the country. And it's very important to understand when they talk charging stations, we talk charging ports, the recharging station, we put in the ground, that's a charging port. And the reason why we do that is because when we put one charging station in a location that we own and operate, the entire location is ours as part of a contract. Now when we sell the hardware, but when we own and operate. We don't just start an agreement to put one charging station, it's actually an agreement for the entire location. But when the government's referring to a charging station, think of a gas station with many gas pumps. That's what they refer to as a charging station. So, when you're looking at the number of 500,000, you could easily multiply that by easily five or six, or maybe even more charging stations, which are the pumps, the plugs that you actually plug in. So the administration is talking about in area you do almost 2.5 million, 3 million charging ports. That's a substantial amount. And we believe that with the grants that are given out, if they were given out as the having a pass, there's never been any much of a change. We'll be able to receive a substantial amount of funding. Typically, those programs are 80% funding. You pay for the deployment. You prove that the deployment was done. You present your bills. You wait some time. And you get roughly $0.80 on the dollar reimburse. That's how it was done in the past. So they incentivize people to put charging stations out there. You have to know what you're doing. You have to have the hardware, the locations and so on. But there's massive subsidies. There will be billions of dollars, 10s of billions of dollars, maybe even 100 billion or more, that's going to be earmarked towards EV infrastructure. There's a handful of companies that really have the experience to be able to out there and deploy it and we believe Blink will be able to be a major beneficiary of a lot of these grants rebates from the administration
Q - Sameer Joshi: Understood. Yes. Thanks for that color. And I agree with tremendous opportunity you have in front of you. Just stepping back and looking at your near term opportunities, especially as it relates to Panama and Dominican Republic. Are these sails and no longer Blink on systems when you look at South America? Or how does that work? Are you still owning part of the unit that you are going to Panama and Dominican Republic?
Michael Farkas: It depends on where we're operating. In the south Latin America or certainly areas we do own and operate. Certain areas we sell very similar models to what we have. And our relationship with into energy buys the hardware from us.
Q - Sameer Joshi: Understood. And then just one last one. I think, both the previously and lastly about the SG&A. But now that you have over $220 million in the bank. How do you see that utilized? Or what are the areas that you would like to focus on more than others?
Michael Farkas: Some of the perspective of where we're going to focus the capital?
Q - Sameer Joshi: Where is the capital going to be focused? Is it going to be mostly expansion in the U.S.? Is it Europe is going to be focus? How do you look at spending this money?
Michael Rama: Okay. As you can see, historically, we've been a very acquisitive company. We bought a bunch of companies in the past. Lincoln's just over roughly about nine acquisitions now. And we plan on growing our business both domestically, as well as globally through acquisitions. In addition, wherever we buy, we would like to help grow the business. So we believe in organic growth in our current business, in the energy economy operating as well as in the areas that we're currently extending. And so, we're going to focus our capital in ways that will be best suited to our shareholders. And wherever there's activity, we need to focus our resources on areas where we can have in the new utilization, in areas where there may be a bit more utilization than there is here. Again, but our focus is to grow our network and grow our business, no matter where it is, we're positioning Blink, to be a global network with multi currency and multi language, really have to be able to operate anywhere. And this is a global business. It's one network that can handle the whole world. And obviously, you have certain information and storage of that information in local areas, but the network, it could be a global network. And that being so, as I mentioned earlier, it's very easy to extend it to any area. You could put one charging station and if there's a viable location over there, it's profitable. And that's how we're looking at this business.
Q - Sameer Joshi: Thanks, Michael. Thanks for taking my questions.
Michael Farkas: Welcome.
Operator: It appears we have no further questions. At this time I will now turn the program back over to our presenters for any additional or closing remarks.
Michael Farkas: Thank you for joining us. This is an extremely exciting time for our company and we remain focused on expanding our footprint, growing our customer base and establishing new partnerships. We are very excited and looking forward to speaking to you guys on our next quarter. Thank you very much.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.